Operator: Ladies and gentlemen, thank you for standing by. Welcome to the 2013 Second Quarter Results Conference Call and Webcast. During the presentation participant lines will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. (Operator Instructions) And please be advised this conference is being recorded, Thursday, August 1st, 2013. It is now my pleasure to turn the conference over to John Pearson, Vice President, Investor Relations. Please go ahead sir.
John Pearson: Thank you, Lindsay. Welcome to Centerra Gold’s 2013 Second Quarter Conference Call. Today’s conference call is open to all members of the investment community and to the media, first in listen-only mode and then after our formal remarks, we will open the phone to questions, the operator will give the instructions for asking your questions. Please note that all figures are in U.S. dollars unless otherwise noted. And joining me on the call today is Ian Atkinson, President and CEO, Gord Reid, COO, Jeff Parr, CFO and David Groves our Vice President, Global Exploration. Before we begin, I would like to caution everyone that certain statements made on this call may be forward-looking statements and as such, are subject to known and unknown risks and uncertainties which may cause actual results to differ materially from those expressed or implied. Also certain of the measures we will discuss today are non-GAAP measures and I refer you to our description of non-GAAP measures in the news release and our MD&A. For more detailed discussion of the material functions and risks and the uncertainties, please refer to our news release, the MD&A and along with the unaudited interim condensed consolidated financial statements for the quarter ended June 30, 2013 which were issues last night and filed on Sedar and also please refer to our other filings including our annual filings which can also be found on Sedar. Now, I will turn the call over to Ian.
Ian Atkinson: Okay. Thank you, John and good morning everyone. In view of the recent significant decline in gold price we like, many of our peers reviewed our plan to annual expenditures and have identified identify spending reductions of approximately $50 million as compared to our previous forecast. Reduced spending is primarily related to reductions in global exploration activities deferring or cancelling various corporate initiatives and through operating efficiencies of the sites. We are continuing to focus on further efficiency improvements and for the cost reductions. Gold production for the second quarter was better than expected with a strong operating performance at Boroo and this has enabled us to increase our gold production guidance for the year 615, 000 ounces to 675,000 ounces. In the third quarter, we expect similar productions in the first part of year with a significantly stronger gold production in the fourth quarter at Kumtor when the operation gets back into the high grade SB Zone. Our quarterly unit costs as expected were impacted by the lower ounce gold production. However, when you look at our forecast for our all-in costs pre-tax for the full year it is $945 to $1,040 per ounce. We do calculate our all-in pre-tax cash cost slightly differently than do our peers. As we include all of our capitalized stripping, all of our sustaining capital and all of our gold capital and also corporate cost which includes G&A, all of our corporate costs, I beg your pardon, which include G&A, global exploration expenses and CSR costs. In addition to this Centerra is well positioned in a lower gold price environment as we do not require any significant capital investments to maintain our longer term production plan. On the financial front, we reported net earnings for the quarter of $1.6 million which includes a $2.2 million write-off for certain infrastructure assets at Kumtor which were located in the planned expansion for central valley waste dump and could not be relocated. In Kyrgyz Republic, we’re continuing discussions with the government regarding the potential restructuring transaction relating to the Kumtor project. The Kyrgyz government did get an extension from parliament till September 10th to continue holding discussions to resolve the outstanding concerns around Kumtor. The government has now hired financial advisor and efficient legal advisor are helping them in the continuing discussions with Centerra. Penning the outcome of the discussions, the government’s priority continues to be maintaining the continuous mining operations at Kumtor. In Mongolia, we are encouraged that our Gatsuurt property has been included in the list of mineral deposits of strategic importance. But, we expect will be reviewed by parliament in the fall. If approved by parliament it would exit Gatsuurt from the Headwater Forest Law which is currently preventing development, further exploration of the property. As you know the Mongolian parliament is out for the summer recess, so we don’t expect any progress on this until the fourth quarter at the earliest. Yesterday we announced our quarterly dividend of CAD 0.04 per common share which occur in share price represents an annualized yield of about 3.5%. And as a final note, the board of directors appointed Mr. Shakirov to the board yesterday. Mr. Shakirov is the Deputy Chairman of Kyrgyzaltyn, Centerra’s largest shareholder. He is also member of the Kyrgyz Republic government working group that was established to represent the Kyrgyz Republic in negotiations with Centerra. We believe that Mr. Shakirov’s presence on the board will support and reinforce the excellent communications we have both in Kyrgyzaltyn and with the Kyrgyz government and will facilitate future discussions. So with that, I’ll now turn it over to Dave to talk about exploration.
David A. Groves: Thank you Ian and good morning everyone. Exploration activity during the quarter included drilling in the Centerra Kumtor, resource development and exploration at our Oksut project in Turkey and resumption of surface exploration programs on our ATO land position in Mongolia. We also completed a winter drilling program on the Kara Beldyr joint venture in Russia and elected to cease exploration examine options for the project with our partner Orient Mining. Additional exploration details can be found in the news release and on our website at centerragold.com. As Ian indicated, we’ve reduced the exploration budget for the year to approximately $32 million which was $8 less than our previous guidance of $40. The reductions include fewer meters of drilling at Kumtor where we will have little or no access to drill platforms for the balance of the year due to mining activity in the Central Pit. We’ve also transcending on a number of our other exploration projects and reduce the amount of one allocated funds reserved for unbudgeted initiatives. Work will continue as planned on the ATO project in Mongolia and at our exit project in Turkey. We have four rigs operating at exit, metal urge billing, fill and step out drilling and we have commenced environmental and social impact studies under the direction of SRK. Drilling results from exit continue to support and improve the resource model. I will now turn it over to Gord Reid to talk about our operations.
Gordon D. Reid: Thanks Dave. As a result of the increased movement in the central valley waste dump we reported back in May, we revised our 2013 waste dump management plan and submitted the revised plan to the Kyrgyz authorities for approval. The authorities have agreed that we can work to the revised until they complete the formal approval process. During the quarter as a result of the implementation of the revised waste dump management plan, the rate of movement of the central valley waste dump slowed to pre-March rates of movement. There has not nor is there expected to be any impact on our plan 2013 goal production. Work continues on the infrastructure relocation. Mining at Kumtor is on track to reach the high grade SB Zoner are in late September as forecast. Movement of the ice in the high movement area is as expected and is not expected to impact forecast 2013 gold production. During the second quarter Kumtor produced 72,000 ounces of gold from stock piled material which have been mined from cutback 14B also known as the hockey stick zoner in the fourth quarter of last year. The average head grade for the quarter was 2.17 grams per ton with the recovery of 69%. The recovery was low due to metallurgic complexity of the ore associated with this zoner. We expect similar recovery in the third quarter until we access the SB Zoner at the end of that quarter. While the ore is higher grade and is expected to have higher recovery. We have a history of successful processing SB Zoner, the SB Zoner has fewer complications metallurgically speaking than the hockey stick zoner. Boroo as Ian mentioned performed very well during the quarter producing 27,000 ounces of gold. The increase in gold production as compared to second quarter 2012 was mainly due to the resumption of the activities at the heap leach operation which contributed 13,000 ounces and the processing of higher grades of ore through the mill which contributed almost 14,000 ounces. Newer head grades average 1.13 grams per ton with recovery of 61% in 2013 compared to 0.86 grams per ton with a recovery of 69% in the second quarter of 2012. We have increased our gold guidance for the year at Boroo to the 65,000 ounce to 75,000 ounce range from the previous guidance of 55,000 to 60,000 ounces. During the second half of the year, the Boroo mill is expected to process old stock piles with an average grade of 0.7 grams per ton. The heap leach operation will be temporarily suspended in August for plan maintenance which was deferred from May 2013. I would like to turn the call over to Jeff to provide a review of our financial performance.
Jeffrey S. Parr: Thanks Gord, and good morning everyone. On a consolidated basis our second revenue of $128 million reflects a 43% increase in gold sales for the quarter along with the 14% lower average realized gold price of 1376 compared to 1597 announced last year. During the quarter we had earnings of $1.6 or $0.01 a share this reflects increased production at both Kumtor and Boroo and includes $2.2 million for the write-off of certain infrastructure assets in the path of the central valley waste dump at Kumtor that can’t be located as Ian mentioned before. We also had a charge of $2.1 million at Kumtor against cost of sales which represents the write-down of inventory stock piles to the net realizable value. This occurred because of the lower production at Kumtor resulting in a higher unit cost. The company’s cash and investment balance reduced from $370 million at the end of the first quarter to about $316 million as expected. At current gold prices, we anticipate consuming some cash during the third quarter but expect cash balances to grow by the end of the year even in this lower gold price environment. Centerra has a strong balance sheet with a $240 million net cash position and good cash generating ability. During the quarter we spent and accrued $19 million on sustaining capital, $10 million on growth projects and $77 million on capitalized stripping. For 2013, we’re maintaining our outlook for capital expenditures of $107 million which excludes capitalized stripping. In light of the recent significant decline in the gold price the company has performed an assessment of the recoverability of its capitalized assets and determine that no impairment exist at June 30. Kumtor has low long term unit costs and low capital requirements necessary to maintain current production levels. And with that I will turn it back to Ian to wrap up.
Ian Atkinson: Thank you, Jeff. Just a few comments in summary. We’re continuing our discussions and working the Kyrgyz government to resolve all of the outstanding concerns that we are making to the Kumtor project. We’re on track to access high grade portion of the SB zone at the end of third quarter and need to have production guidance for the year. We’ve revised our consolidated all-in cost pre-tax for the year to $945 to a $1040 per ounce which is down from our previous guidance. We have a strong balance sheet with the net cash balance at the end of the quarter of $240 million. So, with that operator, let’s open up the call for questions. So, operator please go ahead.
Operator: Very good, thank you. (Operator Instructions) And our first question comes from the line of Alec Kodatsky with CIBC, please go ahead.
Alec Kodatsky - CIBC: Thanks. Good morning everyone. Just a couple of questions, in the release you highlighted just with respect to permitting the waste dumps that the approvals are still outstanding and two years but the process is there and what the timelines could be as far as gaining that approval?
Gordon D. Reid: This is Gordon, I will respond to the question. The process is to annually apply for approvals for your mine planning including your waste dump management. The original 2013 mine plan was, we needed to revise that because of the unexpected movement. We simply revised the plan and resubmitted that is currently under review by the State Agency of Environmental Protection of Forestry, the State Agency of Zoology has already approved the change. In the meantime we’re working on the letters we’ve received from the State Agency of Environmental Protection agreeing that we can work to that plan until they completely approve the process. Having said that we’re in the process of preparing our 2014 mine plan that will be submitted by the end of the year for approval, I hope that answers your question.
Alec Kodatsky – CIBC: Okay. Now that just sort of curious as to how things may fall out and then just a question on the developments in Mongolia where you may be seeing the reclassification of Gatsuurt. More of the question would be related to the potential for the government to gain an interest in the project and just sort of curious you didn't know that it would be under discussion with the Mongolian government and curious what the process there is and sort of what structure might we expect if that was to go forward?
Ian Atkinson: It’s Ian, if the Mongolian deposit does declare, so if Mongolian government does declare the Gatsuurt deposit strategic, they would then have the right to take up to 34% interest in the deposit. And that would be a participating interest and it is subject to negotiation. So, we would then have to get into discussions with the government as to what, actually what size of interest they would take, would they take up to 34% and just how we would move the project forward.
Alec Kodatsky – CIBC: Okay. Just in terms of the allocation that would be their participating as far as putting up CapEx for the project or is it a carried interest scenario responsible for 100% of CapEx but…
Ian Atkinson: Yeah, if it is a participating interest they would be responsible for their portion of capital going forward and also the capital that's already signed. And we will probably use something similar between to the list, the OT where we may end up providing the capital and then recovering the capital from cash flow going forward before they’re shared in there and I think there, before they shared the cash flow on the participating interest basis.
Alec Kodatsky – CIBC: Okay. Thanks very much. Yeah.
Operator: Our next question comes from the line of Trevor Turnbull with Scotia Bank, pelase go ahead.
Trevor Turnbull – Scotia Capital: Thanks Ian. Just to follow up on what Alec was saying with the same, I realize it's almost immaterial, but with the same applied to Boroo as well that it would be a participating interest and the government won't be responsible for some cost as well?
Ian Atkinson: No. It's currently, Boroo is standalone operation and actually Boroo was covered by the stability agreement that expired on the 7th of July and at that point, now the government again reviewed their interest in the property as to whether they was it -- it is strategic deposit, so then this point in time they have an opportunity to review participating interest in the project. However, as you know is Boroo is mined out. We are currently mining – we are currently processing the stock pile ore, we expect that to take us through the end of next year 2014. So, there is a little opportunity there for the government on a go forward basis, but clearly just looking at the Gatsuurt, Gatsuurt requires Boroo to go forward so we have to look at , we have to have discussions with the government on what the best way forward is for those projects. We know the direct answer to the question but it is not – it's an issue of for negotiation and discussion that we not yet started.
Trevor Turnbull – Scotia Capital: Okay. With respect to Gatsuurt, it's been a while since we have talked about getting it up and running. Can you remind us – it seems that I recall, it was a fairly short timeline provided you were able to make a decision to go ahead. It was fairly short timeline to get it up and running. Can you remind me, kind of, what that timeline is?
Ian Atkinson: On go forward basis, now what Gatsuurt is at, let me put it this way, you know, we completed the road, we completed the shop and other site infrastructure that was needed at Gatsuurt to truck material to Boroo. We actually bought the fleet for Aldrich. And however, to move forward now, since we had to stop that activity in 2010 the step we have to do, is actually renew all majority of the permits and so that's what – what first thing we would have to do, of course, on the timeline, that we are working, the longer we leave it to get to that process that number changes. What we have several months of work ahead of us to get permits renewed. As soon as that is done, we can then start looking at, starting the stock piling on surface and we currently estimate that would take us probably three months at which point we will able to and to start trucking the work to Boroo for processing. So, there is a pre-production period there of about three months or so, but there is permitting period that is actually more of a number that we can't determine at this point in time. And of course, we have about two years of offsite material to mine, the truck to Boroo, whilst we then work on completing design, construction of the plan.
Trevor Turnbull – Scotia Capital: Okay, great. And just a quick question on Kumtor, I assume you are going to see, you would see Kumtor making free cash flow in the fourth quarter. Can you remind us, kind of, if you agree with that, what kind of gold price you would assume in saying that and then is it possible to give us a sense of what maybe those Q4 all-in cost would look like?
Jeffrey S. Parr: Hi Trevor, it’s Jeff. Our current assumptions for the second half gold price might be somewhat conservative. It's about – we are using about 1250 right now. Yes, we would certainly consider the Kumtor will have free cash flow. I might think you just look at our guidance on the unit cost and then make your assumptions on the gold price. Sorry, what was the second part of your question Trevor?
Trevor Turnbull – Scotia Capital: I was just curious if you, I was thinking specifically Q4 when you start to get into the SP zone again or the high grade material again. What the all-in costs you would be anticipating?
Jeffrey S. Parr: We haven't given guidance on quarterly basis but it's certainly, I mean if you look at the year, the all-in cost at Kumtor are quite low. So, I mean the quarterly is roughly 50% to 55% of our annual production. So, it would – if we can keep that kind of production up all year, so for the year we are looking at 820 to 895 on a pre-tax basis which is pretty reasonable.
Trevor Turnbull – Scotia Capital: Okay. Yeah we can probably back into that number.
Jeffrey S. Parr: Yeah.
Trevor Turnbull – Scotia Capital: Okay. That's all I had. Thank you, Jeff.
Operator: (Operator Instructions) Our next question comes from line of Andrew Breichmanas with BMO Capital Markets, please go ahead.
Andrew Breichmanas – BMO Capital Markets: Thanks. Good morning guys! Just a quick question back on Kumtor. The issues with the Ball Mill ring gear, I guess, in 2008 when we had some issues there was defect in the shell that contributed to the ring gear failure. And I am just wondering if you had identified any other issues with the Ball Mill at this stage?
Gordon D. Reid: Yeah, Andrew this is Gordon Reid. I will respond to your question. This cracking that we have identified, as you said, the ring gear that we had problems within 2008 was replaced in 2010 by this ring gear. Its three years old. This cracking was identified, has been identified as increasing overtime, but in particular between April and July non-destructive testing time period. We are currently in an investigation to identify why we had this premature cracking. I don't want to speculate on that until we’ve completed our investigation. In the meantime, we have made plans to rotate the ring gear to put the cracked faces on the loaded side. We are going to rotate the ring gear during the plant shutdown in August within the same timeframe as the plant shutdown and put the offside, put the load on the current offside ring gear which is – it has not seen any cracking. We will run in that way. We’ve ordered a new ring gear which has the delivery time of approximate one year. In the meantime, we still have that spare ring gear that we took off in 2010 when this new ring gear arrived. It is repaired gear. It won't give us – it will give us close to, but not the same throughput that current existing ring gear gives us. But, it is the fallback if we need to replace that gear before the new gear arrives. We also have other mitigation steps that's something if we need to but that's we don't foreseeing any problems.
Andrew Breichmanas – BMO Capital Markets: And how long would it take to replace the ring gear if it came to us?
Gordon D. Reid: Its 52 week delivery and then –
Andrew Breichmanas – BMO Capital Markets: With the spare?
Ian Atkinson: Okay. I will switch on, the ring gear we have replace with the current spare.
Gordon D. Reid: Yeah, it will only be three or four days.
Andrew Breichmanas – BMO Capital Markets: Okay. Okay, that's it for me. Thanks.
Operator: We are showing no further questions registered at this time. Mr. Pearson, I would turn it back to you to continue with your presentation or closing moments.
John Pearson: At this point in time, if there are no further questions we will end the call. We are all here to field any other questions that people might have, but at this point in time, we will end the call. Thank you for joining us on our call today.
Operator: Ladies and gentlemen, that does conclude the conference call for today. Let me thank you once again for your participation and ask that you please disconnect your lines.